Operator: Greetings, and welcome to the Altice USA Third Quarter 2025 Earnings Results. [Operator Instructions] It is now my pleasure to introduce your host, Sarah Freedman, Vice President of Investor Relations. Thank you. You may begin.
Sarah Freedman: Thank you. Welcome to the Altice USA Q3 2025 Earnings Call. We are joined today by Altice USA's Chairman and CEO, Dennis Mathew; and CFO, Marc Sirota, who together will take you through the presentation and then be available for questions. As today's presentation may contain forward-looking statements, please carefully review the section titled Forward-Looking Statements on Slide 2. Now turning over to Dennis to begin.
Dennis Mathew: Thank you, Sarah. Good morning, and thank you all for joining us today. Throughout today's presentation, we will discuss the progress we have made, the challenges facing our business and most importantly, how we are responding with urgency and discipline to ensure we continue to strengthen our business for the long term. I want to start by recognizing where we stand today and the work that still lies ahead. Over the past 3 years since stepping into the CEO role, we've been executing a comprehensive transformation aimed at stabilizing the business, driving operational discipline and slowing declines to position us for future growth. Our financial performance is starting to reflect our operational investments. Gross margin percentage reached an all-time high. Capital efficiency continues to improve. Adjusted EBITDA decline is moderating and we are targeting year-over-year adjusted EBITDA growth in the fourth quarter. We have also made significant progress in elevating our customer experience and the quality of our network as we continue working to rebuild trust with our customers. Because of this progress, despite market pressure, we are reaffirming our full year outlook of approximately $3.4 billion of adjusted EBITDA. Our outlook includes revenue of approximately $8.6 billion and direct costs and other operating expense, each of approximately $2.6 billion. We recognize that achieving our full year outlook implies a meaningful ramp in the fourth quarter performance and believe that our focus on profitability over subscriber growth at any cost positions us for financial improvement. Our results in the third quarter reflect shifting dynamics. The first part of the quarter was relatively stable, both against fixed wireless and fiber overbuilders. However, in September, competitive intensity significantly accelerated with aggressive offers paired with heightened marketing spend from our competitors as well as elevated FWA activity, which impacted our results. In the face of this, we remain disciplined by prioritizing financial stability and protecting margins over chasing lower-value gross adds. At the same time, we recognize that we must be bolder in our go-to-market and base management strategies to stabilize broadband performance. That being said, while we have made progress, we know there is more to do to attain consistent broadband subscriber growth. Reflecting this evolving competitive landscape, in the third quarter, we recorded a noncash impairment charge of approximately $1.6 billion related to our indefinite live cable franchise rights. The fair value of these assets was originally established during the company's formation in 2015 and '16. Since then, competitive and macroeconomic pressures have evolved, including incremental market entrants and low move activity. The impairment reflects the anticipated persistence of these conditions for the foreseeable future, which are factors that were not contemplated in the original valuations at the time of the Cablevision and Suddenlink acquisitions. This was a noncash charge and it does not affect our cash flow, liquidity or ongoing operations. As we move into the final months of 2025, our priorities remain consistent and clear. We are focused on evolving our go-to-market and base management strategies to improve our broadband and revenue trajectory, driving operational efficiency and enhancing and growing our network. Turning to the next slide, I'll review highlights from the quarter. Adjusted EBITDA declined 3.6% year-over-year and grew 3.3% quarter-over-quarter. Adjusted EBITDA margin of 39.4% expanded 70 basis points year-over-year and 200 basis points quarter-over-quarter. Gross margin reached an all-time high of 69.7%, reaching the milestone of approximately 70% a full year ahead of plan and largely reflects a mix shift away from video. Other operating expenses improved by over 2% year-over-year and by over 6% quarter-over-quarter. These results reflect our efforts to operate with discipline by driving innovation enhancing the customer experience and improving operational and financial efficiency across the business. On revenue, we maintained a disciplined approach to our revenue strategy prioritizing margin accretion and profitability as industry growth remains near record lows. In addition, we remain focused on expanding penetration of new and existing products designed to unlock additional revenue over time. While total revenue declined 5.4% year-over-year, driven primarily from video pressure, we showed revenue momentum in mobile service revenue, which grew 38%, Lightpath, which grew almost 6% and underlying news and advertising, which excluding political, grew almost 9%. Turning to our network. We continue to advance our network modernization efforts with the deployment of mid split upgrades across our HFC footprint. Later this month, we expect to begin offering 2 gig speeds in our first HFC market, an important step toward our multi-gig evolution with additional markets expected in 2026. Additionally, we continue to expand our network with total new passings expansions and additional hyperscaler contracts awarded at Lightpath. In August, Lightpath announced plans to construct 130 route miles of AI grade fiber infrastructure in Eastern Pennsylvania to connect the rapidly developing hyperscale data center ecosystem in the region. Turning to Slide 5. I want to provide more context on our Q3 broadband subscriber results and our disciplined strategic and financial focus as broader market conditions persist. In the quarter, we lost 58,000 broadband subscribers. We continue to operate in a challenging market, characterized by historically low growth intensified competition and ongoing consumer financial strain as more providers compete for fewer customers who are increasingly price-sensitive. This dynamic has led to elevated subscriber acquisition spending across the industry. Specifically, late in the quarter, we saw competitors ramp up promotions and significantly increased marketing spend, often combining deep discounts with aggressive add-on offers, which impacted our ability to capture win share. We maintained margin discipline in managing subscriber acquisition costs during this time, prioritizing quality growth and returns over uneconomic volume. Looking ahead in this environment, we intend to maintain this discipline. We recognize that we need to continue to adapt and evolve our go-to-market approach to compete more effectively. We have made steady progress in our head-to-head performance against fiber overbuilders and have observed encouraging trends there. Though on the fixed wireless side, as I referenced earlier, the competitive landscape demands a stronger stand. And we are developing and executing on a plan centered on our faster, more reliable network and superior product set, including mobile to execute with urgency and win. Turning to Slide 6. We continue to expand our product portfolio and increase penetration across both new and existing offerings. Our goal is to create stickier customer relationships, compete more effectively and capture additional revenue opportunities over time. We added approximately 40,000 customers to our fiber network and ended the quarter with over 700,000 fiber customers, representing a penetration rate of 23% across our fiber network. Thanks to the investments we made to enhance the quality and reliability of our HFC network, we refined our fiber migration strategy into a balanced returns-driven approach, one that prioritizes customers who benefit most from our superior fiber speeds and low latency experience. This strategy allows us to improve portfolio yields by balancing the strengths of HFC and fiber to deliver the right performance at the right cost to the right customer segments, ensuring each connection drives the greatest impact for both our customers and our business. On mobile, we added 38,000 mobile lines in the third quarter, representing a year-over-year uptick in mobile line growth and a consistent pace with the prior quarter. As we focus on customer quality and churn reduction, we are pleased with our progress. Annualized churn improved by approximately 900 basis points and we expect the potential for further gains as we continue to prioritize gross additions of higher-quality customers, those who port their number, finance the device or choose unlimited plans. While this strategy is expected to keep gross additions muted in the near term, lower churn is expected to offset that impact, driving steadier net adds in the long run. This deliberate shift improves efficiency and profitability, building a more stable, high-value customer base and reducing acquisition costs over time. Of note, today, only 35% of our mobile customer accounts include more than 1 line, which highlights a significant growth opportunity. We are evolving our mobile strategy with more attractive simplified pricing that makes it easier for customers to add lines and bundle services. Specifically, we have a heightened focus on driving multiline adoption, strengthening broadband convergence and enhancing pricing and offer competitiveness. We expect this evolved mobile go-to-market approach to roll out in late Q4, which we believe could position us for improved performance heading into 2026. Last year, we introduced a new and simplified 3-tier video offerings, Entertainment TV, Extra TV and Everything TV. These packages deliver greater value by including the most watched content, offering customers more flexibility and choice while enhancing our video margin profile. In the third quarter, we added or migrated a total of 58,000 video customers to these new tiers, representing a ramp from the phase launch in this prior year ending the quarter with 13% penetration of residential video customers. We continue to evolve our video strategy as we bring in partners such as Netflix, Disney, Hulu and others to strengthen our value proposition and bring more optionality to our video customers. More broadly, we have launched several new value-added services and products over the past few quarters, including Total Care, Whole-Home Wi-Fi and B2B add-on services such as connection backup and Secure Internet Plus. These offerings continue to scale and together with other products in our road map helped to create stickier customer relationships. Over time, we believe these services may help offset ARPU headwinds from declining legacy products such as video. In closing, over the past year, we've strengthened our foundation anchored in product quality, network reliability and customer service, which we believe remains central to winning in the marketplace. Our focus remains on enhancing our value proposition, rebuilding customer trust and sharpening our go-to-market and base management strategies to compete more effectively in this highly competitive landscape. Although market conditions remain challenging, we remain focused on the elements within our control, maintaining discipline and execution, competing with precision and allocating resources with intent. This balanced approach protects profitability near term while positioning the company for durable growth and value creation over time. With that, I'll now turn it over to Marc to walk through the financial results in more detail.
Marc Sirota: Thank you, Dennis. Let's begin on Slide 7 with a review of our financial performance. Total revenue of $2.1 billion declined 5.4% year-over-year. Video cord cutter remains the primary driver of year-over-year revenue declines, representing nearly 6% of total declines with residential video revenues down close to 10%. News and Advertising revenues declined 10%, driven by the benefits in the prior year period from incremental political ad revenue. Excluding political, News and Advertising revenue grew by almost 9%. Over the full year, we expect to offset most of the revenue pressures through continued improvement in programming and direct costs as we manage expenses in line with the lower revenue environment. Residential ARPU declined 1.8% year-over-year to $133.28, lower by $2.48, primarily driven by the impacts from video. In the third quarter, video contributed to a $3.16 decline year-over-year to total residential ARPU. This is related to volume, partially offset by disciplined video price expansion and representing nearly 130% of total ARPU decline. Offsetting those declines, we saw steady improvement in all other service revenue, contributing to a $0.68 year-over-year improvement driven in part by rate discipline and growth of mobile and new product sell-in. This underscores that even with improving margins, video's revenue pressure remains the biggest factor weighing on top line and ARPU performance. Broadband ARPU declined slightly year-over-year to $74.65, tied mainly to seasonal trends with expected low promotional roll-off volumes. We expect full year broadband ARPU to be slightly up year-over-year, supported by additional rate benefits in the fourth quarter. Continuing on Slide 8, our gross margin reached an all-time high of 69.7%. Gross margin expanded by 160 basis points year-over-year reflecting the continued mix shift away from video, along with a disciplined approach to stronger programming agreements and ongoing efforts to optimize video margins. Adjusted EBITDA of $831 million declined 3.6% year-over-year. This represents a moderation in the rate of decline compared with recent quarters, reflecting the benefits of ongoing operational efficiencies and disciplined cost management, as evidenced by the 3.3% sequential improvement in adjusted EBITDA in Q3 compared to the second quarter. Third quarter adjusted EBITDA margin expanded by 70 basis points year-over-year to 39.4%, representing our highest EBITDA margin in the past 2 years, and underscores the continued progress in improving efficiency. In the fourth quarter, we are targeting year-over-year growth in adjusted EBITDA, which will represent the first quarter of growth in 16 quarters. The expected step-up in adjusted EBITDA is driven by both improvements in top line trends and our cost profile. On revenue, we see a path of slowing the rate of decline in our core residential and B2B businesses. Our strategy focuses on more disciplined ARPU management through a seasonal timing of rate actions and continued expansion of value-added services. For the full year, we expect broadband ARPU to increase slightly year-over-year, supported by anticipated growth in the fourth quarter. As expected, third quarter results were impacted by typical seasonal dynamics, including back-to-school and lower promotional roll volumes. As noted, Video continues to be the largest driver of our revenue declines. However, we have successfully slowed the rate of decline by adding incremental subscribers to our new video tiers, and we expect this trend to continue. Additionally, our Lightpath business continues to gain share in the hyperscaler market. As we exited 2024, we announced more than $100 million in awarded contracts. And since then, we've meaningfully increased both the total value of awarded deals and opportunities in the pipeline. We expect these contracts to begin contributing to revenue in the fourth quarter with continued growth through 2026 and beyond. In News and Advertising, while we continue to face year-over-year headwinds from the prior year political cycle, we expect to see acceleration in our advanced advertising platform driven by seasonal contracts, primarily tied to the NFL season in the fourth quarter. Additionally, we anticipate some political advertising benefits this year from races in New York City and New Jersey. On direct costs, our teams have done a great job at resetting and executing innovative programming agreements which contributed to a 14% reduction in programming costs year-to-date. We expect this momentum to continue, supporting our full year outlook on direct costs of approximately $2.6 billion. And finally, on operating expenses, we continue to expect benefits from our workforce optimization efforts. These actions were taken without impacting our customer-facing teams, ensuring no compromise to the quality of our customer experience. In addition, we see continued reductions in call volumes and truck rolls tied to the strength of our network in AI-driven automation yielding up savings. And last, as we said previously, we expect moderation in consulting and professional fees tied to our transformation efforts. All of these opportunities from incremental revenue to lower cost profile give us confidence in the path to achieving approximately $3.4 billion of adjusted EBITDA in the full year. Next, turning to Slide 9. I'd like to go a bit deeper regarding our operational efficiency momentum. In the third quarter, our operating expenses improved 2.4% or approximately $16 million lower year-over-year, marking the first quarter of year-over-year OpEx improvement in 6 quarters. As we discussed in August, we delivered OpEx moderation, staying on track to achieve a 4% to 6% reduction in full year 2026 operating expenses compared to full year 2024. Historical OpEx elevation was driven by incremental investments on our transformation journey to refine processes and implement new tools, some of which have now begun to taper, portion of transformation-related costs remain in our operating expenses today but are expected to further decline in Q4 and into 2026. In addition, we reduced sales and marketing expenses in the third quarter, reflecting our disciplined approach to managing subscriber acquisition costs and avoiding overspending on lower-value customers. Salaries and related costs are running below the prior trajectory driven by workforce optimization actions taken in the second quarter with the full benefit expected in the fourth quarter. Although this is partially offset by employee-related health and wellness costs, which continue to run at a higher rate than 2025. Specifically, health and wellness costs were higher by $8 million year-over-year in the third quarter and higher by $30 million year-over-year in the third quarter year-to-date. Beyond OpEx, we continue to drive efficiency across our operations. First, annualized service call rate improved by approximately 6% and the annualized service visit rate improved by approximately 20% year-over-year in the third quarter. Next, we continue to focus on strengthening our programming agreements and take a data-driven analytical approach to these negotiations, ensuring our content strategy aligns with customer preferences and viewing behaviors. This approach, combined with continued adoption of our new video tiers, supported video gross margin of expansion of almost 350 basis points year-over-year in the third quarter. We continue to integrate AI tools across multiple areas of the business from predicting outages to coaching sales reps. AI is helping drive efficiency and supporting growth opportunities. For example, we launched our AI virtual assistance in sales and build partnerships with companies like Google and Cresta to transform customer support. So far, the results have been fewer customer touch points, faster resolutions and better experiences. And finally, our customer satisfaction continues to improve with the relationship NPS up 6 points in the last year and up 17 points over the past 3 years, reflecting ongoing enhancements to network performance and overall customer experience. Stepping back, these overarching trends reflect the progress we've made and laying a foundation of quality across our products, network and services. The discipline and efficiencies we built into the operations are now beginning to be reflected in our results as we position the business for sustained improvement. Next, on Slide 10, I'll review our network investment and capital expenditures. We now project full year 2025 capital expenditures of approximately $1.3 billion compared to our prior outlook of approximately $1.2 billion. The increase reflects incremental investment at Lightpath to support continued hyperscaler build activity, which is now expected to be at the higher end of the Lightpath capital range of $200 million to $250 million. In addition, there are some timing impacts towards the end of the year that are contributing to our higher 2025 capital outlook. Cash capital expenditures in the third quarter were $326 million, down 9.4% year-over-year. This reflects lower capital spend in the second half of the year as more capital-intensive phases of our build activity occurred earlier in the year, and capital has tapered substantially each quarter since. In the third quarter, we added 51,000 total passings and 30,000 fiber passings. Year-to-date, we've added 112,000 total new passings and continue to target 175,000 total new passings in the full year. As we discussed in previous calls, the majority of our passing growth in 2025 is expected to come from new fiber deployments. In addition, we are efficiently upgrading portions of our HFC network to enable multi-gig speeds. We continue to deploy mid split upgrades at a low cost per passing and expect to begin marketing multi-gig HFC service in our first market later this month. And finally, turning to Slide 11, we will review our debt maturity profile. As discussed in August, we are pleased to have partnered with Goldman Sachs and TPG Angelo Gordon on a $1 billion asset-backed receivable facility loan. This first of its kind securitization transaction backed primarily by HFC assets has added additional debt capacity. The loan transaction was completed in July of 2025 and is included in our consolidated debt maturity profile and debt calculations presented. At the end of the third quarter, our weighted average cost of debt is 6.9%, our weighted average life of debt is 3.4 years, and 73% of our total debt stack is fixed. Consolidated liquidity is approximately $1.2 billion and our leverage ratio is 7.8x the last 2 quarters annualized adjusted EBITDA. Before we close, I'm pleased to share that earlier today, we announced the alignment of our corporate identity with Optimum, a brand trusted by millions of customers. Effective tomorrow, November 7, we expect to change our corporate name from Altice USA to Optimum Communications. In connection with this, starting on November 19, our Class A common stock, which currently trades under ATUS ticker symbol on the New York Stock Exchange is expected to begin trading under our new OPTU ticker. We view this transition as an important milestone in our multiyear transformation journey, uniting us under a single Optimum brand identity. In closing, we believe our strategy and unwavering discipline and focus enables us to build a more resilient business over time, positioned for sustainable, long-term growth and enhanced value for our shareholders. With that, we will now take questions.
Operator: [Operator Instructions] Our first question comes from the line of Kutgun Maral with Evercore ISI.
Kutgun Maral: Two, if I could, one on broadband and one on cost. First, on broadband trends, Dennis, as always, your candor and the detail around the market realities are much appreciated. It's clearly a dynamic backdrop. As we think about your commentary that competitive intensity has significantly accelerated in September, along with the high likelihood that there'll probably be even further pressures from the big 3 telcos on both fixed wireless and fiber ahead. What's the right way to think about the broadband subscriber trends for Optimum going forward? Broadband net losses widened from 50,000 last year to 58,000 this quarter, particularly given your disciplined financial approach, it seems like these year-over-year pressures will likely widen, but would welcome your thoughts. And second, I was hoping to get more color on the cost structure since there have been a number of puts and takes this year given the ongoing transformation efforts. I know it's way too early to talk about 2026. But as we try to put the pieces together for EBITDA, is the fourth quarter cost base the right way to think about the shape for next year?
Dennis Mathew: Yes, I'll start with the broadband trends, and I'll let Marc jump in on EBITDA and OpEx and provide some color commentary. As you know, last quarter, we did make some progress in terms of year-over-year performance as we were executing our hyperlocal strategies, our income-constrained strategies, and we were starting to make some progress. But I also indicated that we are working on a much broader transformation of this company, and we are working to ensure that we deliver long-term subscriber revenue and EBITDA growth and as such, we are prioritizing financial discipline. And as we entered into Q3, we found that in this low growth environment that the competitive landscape continues to evolve, and the marketing spend by our competitors continued to increase. We had competitors that were increasing marketing spend in certain instances by double digits. We also had -- since I've been sitting in the seat, the most aggressive offers I've ever seen in the marketplace. I mean I'll just be quite frank with you. There are competitors offering 3 and 4 months of free service, $500 plus of incentives, free streaming, $29 gig and these are all being stacked on top of each other. And so we meet every day, every week, and we decide how are we going to continue to drive this business we've committed to the $3.4 billion in EBITDA, keeping EBITDA relatively flat year-over-year. That is our focus. And so we decided that we're not going to chase high-cost, low-value gross adds that we are going to continue to stay disciplined. And we're doing that across the east and the west, in the East. We see heightened competition from fixed wireless in particular. And then in the West, we do have some fiber overbuilders that are very, very aggressive on price. That being said, we have the right network, the right products and the right value propositions to compete as I mentioned in the last quarter, we saw some benefits from our hyper local strategy, and that continues to bear fruit in Q3. But we have to be bolder. We have to scale. We have to accelerate and drive our marketing to tell that story more effectively across the West. And in the East, we have to do a much better job of really showcasing that our products superiority against fixed wireless and our value proposition. And so those are the things that we're focused on from a go-to-market perspective, really continuing to evolve those strategies and continue to scale those strategies. And then on the base management side, in this low-growth environment, we have to continue to focus on managing our base effectively. And while churn has remained relatively stable. There's more opportunity. There is more opportunity. We have to -- we focused, as you know, over the last couple of years on making sure we have the right quality in terms of network and product and service, we have to sharpen our toolkit in terms of value. And folks want crystal clear transparency on pricing and packaging, and we have some opportunities there, and we're working on that. So this is not a time where we're going to go chase high-cost, low-value gross adds. We're going to remain disciplined. And the competitive intensity continues into Q4. But the good news is that we've got a great team, and we've got more tools than we've ever had to be able to test and learn and evolve our strategies so that we can compete most effectively and find the right balance of rate and volume into Q4 and going into Q1. Marc, do you want to talk about the cost profile and how we're managing our financials.
Marc Sirota: Absolutely. Yes, really pleased on our operating expense moderation that you saw in the second quarter this just reflects our continued focus on optimizing our operations. You saw and we talked about in the last quarter, we were optimizing our workforce and that transformation really started to highlight some results here in the third quarter. We continue to remain disciplined, as Dennis mentioned, around marketing expenses and being balanced on our subscriber acquisition costs. We are not going to chase low end, gross adds and results are reflected in our results today. And as we mentioned, we saw less consulting fees and things tied towards the transformation. Those are really first half of this year related. Those will wane. And we'll continue to moderate expenses as we look into the fourth quarter, again, driven by how we're managing the network. We see service call rates as we talked about, down 6% quarter-over-quarter service digits rate down 20%. We're deploying AI throughout our ecosystem which is just getting customers the answers quickly and first time right, is at an all-time high in those rates. And it's a very personalized experience with our customers. So we'll continue to moderate. Proud of coming out of the second quarter, our annualized run rate was over $2.7 billion coming out of this third quarter, we brought that down to $2.55 billion, a 6% reduction already and we expect further reductions in the fourth quarter. So as you think about long term, I think you'll be thinking around that space and how we're moderating expenses for the long term.
Operator: Our next question comes from the line of Vikash Harlalka with New Street Research.
Vikash Harlalka: Two, if I could. Dennis, you've spoken at length about all the changes that you're making to improve your long-term broadband trends and then you've also spoken about the competitive impact on your subscriber trends. Could you just unpack the 2 opposing forces for us so that we can understand how much benefit you're seeing from the improvement that you're making and how much that's being taken away by the increased competitive intensity. And then second question on the EBITDA guide. I know you mentioned about rate increases. And then you also mentioned the workforce rationalization, there's a lot of skepticism among investors about your 4Q guide because the implication is you're looking at double-digit growth. So it would be great if you could just help us understand how much effect it has been driven by price increases versus the cost..
Dennis Mathew: Thanks, Vikash. I'll, of course, answer the first, and then I'll let Marc jump in here. But on the broadband trends, as you've heard me say time and time again, we are evolving the way we operate, the way we go to market. We've upgraded our leadership team. We've made changes in terms of pricing and packaging and how we compete at the market level and all of these things are really helping us gain command of our acquisition and base management strategy. We now have the ability to provide strategies, not just one size fits all across the country. But as we've established these OMS areas and as we've really laid a foundation to help us create playbooks depending on what type of competitor is in the marketplace, whether it's a fiber over builder, fixed wireless, those are helping us. That being said, we are in an environment with both macroeconomic challenges and extreme competitive intensity. And so we do need to continue to evolve. The good news is we are able to see what's working, what's not working and continue to act in a rational fashion, evolve those strategies, and that's exactly what we're doing. As we looked at our performance from Q2 to Q3, we saw that there was an opportunity to continue to really be ensured that we're leaning into being more transparent with our pricing, a bit more aggressive and bold in terms of the pricing and packaging strategies in the East and the West, making sure that we're not overly surgical, but we're able to really go into a market and provide the marketing halo necessary to be able to tell our story most effectively and to continue to do that town by town, neighborhood by neighborhood. These are things that we could not do when I showed up. And so it is something that we are looking to continue to evolve in a disciplined fashion. That being said, we are seeing the competitors react. We saw them react from Q2 to Q3. by increasing their marketing spend and by increasing the aggressiveness of the offer. And so we're going to stay disciplined and not chase -- not have a chase to the bottom but really find the right balance of rate and volume. Marc, do you want to talk a little bit about EBITDA question?
Marc Sirota: The EBITDA question? Yes. The cost, good to hear from you. You may need to mute your line. I think we're picking up some of the typing. Just on the full year EBITDA guide, pleased to be able to reiterate that we have confidence in our ability to deliver that both from a top line perspective and a cost perspective. Again, in my prepared remarks, we mentioned some of the path to get there. Again, we see from a top line perspective, we'll continue to drive improvements, mainly through ARPU management, through just the seasonal timing of normal rate event activity, including promo role. In addition, we continue to sell our value-added services, and we continue to see that trend continuing. On the full year, we do expect broadband ARPU to be up slightly year-over-year with some incremental acceleration coming out of fourth quarter. And just to note again, the third quarter was seasonally down, really tied to back-to-school activity and just less promotional roll activity. And just really want to stress, the largest contributor to our revenue decline is really still tied to video only have slowed the rate of video declines as we add more and more customers onto our EBITDA accretive new tiers of services. We expect that trend to continue. In fact, we are more than offsetting all video revenue declines with direct cost savings and that strategy is boosting our gross margins to their highest levels ever a year ahead of where we originally thought they would get to actually. Additionally, we see real acceleration coming out of our Lightpath and news and advertising businesses. First, on Lightpath, as we've talked about previously, the hyperscaler market is a large opportunity for us. The team has done a fantastic job winning a large amount of contracts. We think those contracts really start to pay dividends here in the fourth quarter and beyond into 2026. So I think that's a real tailwind for us. And then our News and Advertising business, despite the political headwinds, we expect to see some acceleration. You saw that in this quarter's results we expect that to continue really coming from some seasonal contracts really tied to the NFL season. Plus, we had some benefits here in the quarter tied to the New York City and New Jersey political races. Can't stress again enough how well the team is doing on direct cost management, being disciplined in this time of revenue pressures tied to video cord cutting. We've driven down our programming cost by over 14% year-to-date, I think, industry-leading. And I think that trend continues and will drive us to our guide of approximately $2.6 billion. And then just on OpEx, we mentioned the workforce transformation. We cut heads by nearly 5%, again, without sacrificing quality. The benefit showed up slightly here in the third quarter, we expect the full benefits to manifest itself in the fourth quarter. We continue to see call volumes and truck rolls decline as we strengthen our network and really drive AI automation into each department. And then just we're moderating our use of consultants and fees tied to the transformation efforts, and that showed up in the third quarter, and we'll continue to see the benefits of that discipline in the fourth quarter. So all of those things, both the top line improvements and our discipline around profitable growth and cost controls and optimizing the operations give us the confidence to deliver our first quarter of growth in 16 quarters in the fourth quarter and get us to our approximate $3.4 billion guide for the full year.
Operator: Our next question comes from the line of Frank Louthan with Raymond James question.
Robert Palmisano: This is Rob on for Frank. So you might have touched on this a bit earlier in your prepared remarks, but can you give us an update on the lower-end product that you guys were looking to sell into rural areas? Have you gotten any traction with that yet? What are you seeing in the way of take rate there? And going off of that, can you talk about East versus West CapEx investment and how you guys expect that breakdown to trend going forward?
Dennis Mathew: Yes. Thanks, Rob. I'll let Marc talk about CapEx. But in terms of our income-constrained product, we are seeing double-digit improvement in terms of sales and connect rates. And so now is the opportunity for us to scale that across the footprint and really go a bit larger with that strategy. As we continue to see headwinds, and we continue to see competitive pressures, we really wanted to test our way into this to make sure that we were doing a good job of managing rate and volume and ensuring that we had the ability to control access to that offer and where we were providing that offer in a just a very surgical fashion. We do have the ability to now scale that a bit further and to really start to market it. We haven't done any real public marketing of it. And so this is an opportunity for us to start to get a bit more aggressive as we round out the year and go into the first half of next year. Marc, do you want to talk about CapEx?
Marc Sirota: Sure. Again, just pleased on the discipline we're showing around our capital envelope and lowering capital intensity. And the team has done a great job in, and really being able to be efficient with every dollar we spend to drive maximum ROI. You'll see, as you kind of think about East West, we'll continue to guide to 175,000 total new passing. Again, that will be mainly in a fiber-rich manner. A lot of that build is actually happening in our West footprint. And we're really excited about the investments that we're able to do at a very economic and efficient way to drive mid split technology and really excited here in this month to launch our first multi-gig HFC network service that will be in the West and excited to see that occur and really speaks about the trajectory of where we're heading with our network performance. So again, pleased on the how the team is managing capital and being disciplined and again, driving growth.
Operator: Our next question comes from the line of Craig Moffett with Moffett.
Craig Moffett: I had 2 questions, if I could. First, can you just give us some sense of how you're thinking about the 2027 maturities wall at this point? Presumably, you've been looking at options to term that out if that was possible. So how do -- have conversations started with your creditors about how you address the 2027 wall? And then just to clarify the remarks that you just made, Dennis, about the introductory or the kind of the low-end offer that you've got for rural markets. That seems to be a bit of an odd when you say you're going to be more aggressive with that, a bit at odds with the overall message of today's call, which sounds like you're going to be more disciplined. I wonder if you could just help us reconcile those 2 things.
Marc Sirota: Craig, let me jump in on the first question around the '27 maturity law. We are not going to be actually taking any questions on our capital structure today. So we'll leave that and I'll pass it.
Dennis Mathew: Yes. And Craig, so to your point, when I say we're going to be a bit more aggressive, is that we've only launched that across a portion of our footprint. We have now the opportunity to launch it broadly across the footprint, but it's going to be very surgical. We're not going to -- this is exactly why we've been taking it very methodically. We didn't want to make it broadly available and then erode ARPU and erode kind of the entire footprint. So we do have the ability and the data sets now to be able to identify the demographics and the areas where this would resonate most effectively so that we can compete at that local level versus making this general market offer. And so this is some of the foundational things that we had to put in place so that we could have really command and control of what offers are available when? When I started, it was -- everything was available everywhere across the footprint. And there was really no control and so over the last couple of years, we've had to do a lot of work in our billing systems and in our offer management to be able to be more controlled and more surgical. We think that this is an opportunity for us, but we do want to have command of it. And so we've tested in a few states, in a few areas within those states, and we've seen the benefit in terms of sales velocity and so now we're going to continue to roll that out in areas where we think it will resonate most and help us compete most effectively. But to your point, my earlier comments still prevails. So we are going to be disciplined, and we're going to continue to compete in a disciplined fashion to make sure we balance rate and volume.
Operator: Our next question comes from the line of Sebastiano Petti with JPMorgan.
Sebastiano Petti: I mean, I guess, just kind of following up on -- I mean, to the same tone of Craig's question there, but how are we thinking about the overall pricing environment? Dennis, you're talking about trying to be disciplined. But obviously, against the broader backdrop within cable here, we've seen one of your peers suggesting maybe they're going to forgo a pricing increase but just kind of given the overall level of competitive intensity in the market. I mean, is this -- what you're seeing in the market, does that change how you're thinking about the growth algorithm and your ability to kind of take price and have pricing power in the market against the backdrop of a more competitive market and trying to be more disciplined?
Dennis Mathew: Sebastiano, customers want quality and they want value. And when I started, we really didn't have a product portfolio that could deliver any sort of value. And so over the last couple of years, we've started to fill up the product portfolio. We now have an amazing product in mobile and we've made some progress, but admittedly, there's more work to do. And over the last couple of quarters, I mentioned last quarter in particular, that the near-term focus was to ensure quality gross adds and so we've leaned in on that. And we've seen a 900 basis point improvement in churn as we focus on selling in more lines as we focus on boarding in phone numbers as we focus on making it easier for customers to finance devices, and that's a huge value proposition that customers are looking for, and it's resonating. And so we're going to continue to drive that across all of our channels, drive participation and continue to evolve the pricing and the packaging to make it simpler and also provide value and value when you buy both together. When you buy both broadband and mobile and so some of that is going to be coming to life over the next couple of months. The other nice thing is we've launched a whole host of other value-added services like Total Care, which we now have over 100,000 customers in the time since we've launched it, like our streaming billing on behalf of products. We now have over 200,000 -- over 100,000 customers on that product. And so these are all opportunities for us to provide value. The video packages as well have been resonating. We've been able to hold our gross add attach flat this year, but in previous years, we have seen that coming steadily down. We now have over 200,000 customers on these new video packages. And so we're focused on quality, as you know, in terms of making sure we have great products and network and service. And now we have these tools like value-added services, mobile and these video packages, and it's up to us now to bring those packages together so that we deliver the best value. That being said, that customers also want transparency in their pricing, and we have to do a better job, and there's more work that we need to do even on the fundamentals of our billing system and the way we present our bill and making sure people understand what they're paying and how much they're paying. Admittedly, we are seeing that folks are resonating with price locks but we're going to do that in a very controlled fashion. We're going to test into that and see where there's opportunities to leverage price locks to help us accelerate our go-to-market but we're not going to do that in an undisciplined way. We're going to do that in a disciplined fashion and find ways to leverage that as well to continue to drive our go-to-market and base management strategies.
Sebastiano Petti: And then if I could quickly follow up. Any update on the MDU strategy? Obviously, or just the overall rollout because obviously, Verizon, a little active in the market acquiring Starry, any impact on what you're seeing from them from a competitive standpoint? I guess maybe where you are internally in terms of the strategic rollout and trying to tap that opportunity.
Dennis Mathew: Yes. So MDU is a huge focus for us. We've continued to evolve our strategy there. We've got a big focus as we come upon contract renewals to focus on exclusive and bulk agreements. That has continued to increase over 2 million opportunity homes passed in our footprint. And so we've continue to upgrade our leadership team, continue to upgrade the tools that we have to be able to really go after these underpenetrated properties in particular. I'm excited about where we are in this journey because this is really upside opportunity for us to have a very disciplined go-to-market strategy. We didn't even have visibility into all of the units and what level of penetration until earlier this year. And so now that we have that visibility, we're mobilizing our teams to go after these opportunities proactively so that we manage those relationships. We provide those building owners with the right level of value in line with the competition. We didn't even have the platforms to be able to do that. We now launch those platforms. We have those capabilities. And I do believe that this will be a tailwind as we go into 2026.
Operator: Our next question comes from the line of Sam McHugh with BNP Paribas.
Samuel McHugh: Just a bit of a follow-up, I guess. So it sounds like you're planning some price-ups in Q4. Obviously, we heard Comcast talking about pausing price up activity. How do you think about the need to do that as well just to kind of get towards that stabilization in the broadband base in the medium term and reducing churn. It seems like you're still struggling to balance the two. So how should we think about price up going forward?
Dennis Mathew: Yes. So we remain very disciplined in evolving our promo roll rate event activity. We can see in real time what the impact of those activities are, how much call volume that's driving, how much churn it's driving, how do we make sure we maximize the monetization of those promo roles and rate events when they do occur. When we first joined, there was a lot of art and not a lot of science, now we're doing a lot of science and making sure that we have complete command of how we do that most effectively. So that is strategy that we continue to evolve. The key -- some of the key things that we found helping us maximize the monetization of those events is proactively communicating with the customers, helping them understand what we're doing, why we're doing it and doing that ahead of time and then giving them options, giving them the opportunity to repackage themselves into these more attractive, valuable margin-accretive video packages, for example. And we're finding customers raising their hands and saying, hey, I don't want to be in this legacy package. I actually want to be in this new package. We're messaging them about the opportunity to take mobile so that they can make sure that they're able to manage their monthly expense most effectively because as customers are looking to manage their monthly expense, we can provide the best value through the mobile service. And so historically, it was really little to no communication, no ability for customers to have any options other than to call us and demand the credit. We are now going on the offensive and communicating ahead of time what's happening, why it's happening and giving them options and customers appreciate that. And so we're going to continue to evolve and find the right balance so that we can balance ultimately rate and volume and not only stabilize our financials, but we will ultimately get to a path where we stabilize broadband as well. And I'm confident that we have the products and the tools and the capabilities to do that over time.
Sarah Freedman: Thank you, operator. I think that concludes our Q&A.
Operator: I'll turn the floor back over to management for closing remarks.
Dennis Mathew: Thank you all for joining. Please reach out to Investor Relations or Media Relations with any additional questions.
Operator: Thank you. And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.